Operator: Welcome to FreightCar America's Third Quarter 2012 Earnings Conference Call and webcast. At this time all participants' lines are in a listen only mode. For those of you participating on the conference call there will be an opportunity for your questions at the end of today's prepared comments. Please note that this conference is being recorded. An audio replay of the conference call will be available from at 1 p.m. Eastern Daylight Time today until midnight Eastern Standard Time on December 1, 2012. To access the replay, please dial 1-800-475-6701. The replay pass code is 268906. An audio replay of the call will be available on the company's website within two days following this earnings call. I would now like to turn the call over to Joe McNeely, Chief Financial Officer of FreightCar America.
Joe McNeely: Thank you and welcome to FreightCar America's third quarter 2012 earnings conference call and webcast. Joining me today are Ed Whalen, President and CEO, Ted Baun, Senior Vice President, Marketing and Sales and Terry Heidkamp, Senior Vice President, Operations. Before we begin, I would like to remind everyone that statements made during this conference call relating to the company's expected future performance, future business prospects, or future events or plans may include forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Participants are directed to FreightCar America's 2011 Form 10-K for a description of certain business risks, some of which may be outside of the control of the company that may cause actual results to materially differ from those expressed in the forward looking statements. We expressly disclaim any duty to provide updates to our forward-looking statements whether as a result of new information, future events, or otherwise. Our 2011 Form 10-K and earnings release for the third quarter of 2012 are posted on our company's website at www.freightcaramerica.com. I would now like to turn the call over to Ed Whalen, our President and CEO.
Ed Whalen: Thank you, Joe. I am pleased to report a solid quarter for FreightCar America as we registered year-over-year improvements in both our top and bottom line despite significant headwinds in the coal market and continuing economic uncertainty. To recap order activity, 225 new railcars were ordered in the third quarter of 2012, compared to 2,485 new and 355 leased railcars ordered in the third quarter of 2011. In the second quarter of 2012, 961 railcars were ordered of which 600 were new. We delivered 1,618 railcars in the third quarter of 2012, which included 998 new and 620 rebuilt railcars inline with your previous release stated reduced expectations for the second half of the year. This compares to 1,515 new railcars delivered in the third quarter of 2011. There were 2,786 railcars delivered in the second quarter of 2012, of which 1,815 were new, 361 were used and 610 were leased cars. Our backlog of unfulfilled orders at September 30, 2012 was 3,716 railcars compared to 6,311 railcars at September 30, 2011 and 5,109 railcars at June 30, 2012. Industry-wide 15,151 units were ordered and 12,346 units were delivered in the third quarter. Industry wide backlog increased to 61,400 units at the end of September. Non-tank car orders were 6,319 units and deliveries were 7,854 units. The overall number of railcars and storage declined to roughly 309,000 as of September 30, 2012, decrease of 9,000 railcars when compared to June 30, 2012. We also estimate that the number of coal cars and storage decreased from about 33,000 at the end of June to approximately 22,000 at the end of September. US commodity loadings in the third quarter of 2012 were down 1.9% when compared to the third quarter of 2011. While railcar loadings of certain commodity such as chemicals, more vehicles and equipment exhibited growth, coal loadings continue to be challenge decreasing 7.3% versus the third quarter of 2011. Weakness in loadings for metallic ores and metal along with agricultural products also contributed to the overall decline in loadings. Intermodal container loadings remain strong for the quarter and increasing by 6.1% versus the same quarter in 2011. US electricity generation where a coal competes as a power generating fuel was down 2.2% year-to-date through September compared to the same period in 2011. Overall US coal production was down 5.7% year-to-date versus the same period last year. Relatively lower natural gas prices and lower electric power consumption continued to negatively impact coal demand. While natural gas prices have turned at higher in recent months, prices are still generally below levels which would yield a meaningful positive impact on coal demand in the near term. The Energy Information Administration's latest estimate for coal stockpile as of July 2012 is 185 million tons, 33% above the 10-year average and 25% above the year-ago stockpile level. Harder than normal summer helped significantly reduce utility coal stockpile from the new record level of 203 million tons experienced in May. However, coal stockpile still remain elevated relative to historical average levels and our forecast at the end year at 187 million tons. A latest data available indicate that US coal exports were up about 25% year-over-year to approximately 88 million tons as of the end of August. Energy Information Administration predict for JAIX coal exports to reach a record 125 million tons in 2012 however in recent months the pace of export activity have slowed with the weakening of global demand for coal. In terms of our performance for the third quarter our manufacturing segment produced another solid quarter as we began to deliver our rebuild program, delivered other coal and non-coal railcars and continue to receive orders for non-coal cars. The enhanced our capability to more efficiently produce more diverse railcar product line, we invested in our facilities during the quarter. The first non-coal railcars to be manufactured using this enhanced capabilities will be delivered in the fourth quarter of this year. We have completed technical testing with respect to our three unit 53 foot Double Stack railcars design and our prototype car is currently in revenue service. We are actively marketing our intermodal product line. Our service segment revenue increased versus the same quarter of last year but decrease slightly over the second quarter of this year. Last year our repair network was negatively impacted by midst shoppings as a result as the railroads - coal cars in service to catch up from last year's Midwest play. Well that situation has debated we have seen a shift in mix toward lower margin repair work as a result repair and aftermarket parts operating income decreased in the quarter. At the current time visibility for 2013 is (Inaudible). Some of the factors contributing to the slack of clarity include uncertain outcome of the upcoming election, the ultimate resolution of the fiscal cliff, it's implication for broader tax policy and ongoing regulatory and general macro economic uncertainty. In addition these uncertainties are also reflected in varying views on the outlook for energy demand as well as the mix of fuel sources. We have successfully managed through on in the past and our balance sheet provides the foundation from which we can manage through front business conditions. While year-to-date rail results have been in-line with our expectations. We anticipate that the fourth quarter will be weaker than the third quarter. As I have stated previously, we expect coal car demand to be depressed in the near term. Under these less than ideal conditions, we continue to optimize our operational flexibility to diversify our product offerings and focus on delivering quality railcars and services to our customers. Now I would like to turn the call over to Joe McNeely to address our third quarter financial results in more detail.
Joe McNeely: Thank you, Ed. Consolidated revenues were $161 million for the third quarter 2012, which were $31 million higher than the third quarter of 2011, but $20 million lower than the second quarter of this year. The year-over-year increase in revenue reflects the higher number of railcars delivered which includes 240 leased cars that were sold in the quarter favorable product mix and improve pricing. Revenues in the quarter were lower than the second quarter of this year due to a lower number of new car deliveries. Net income for the third quarter of 2012 was $4.8 million or (Inaudible) net loss for the third quarter of 2011 of $2.4 million or a loss of $0.20 per share. Net income was $5.6 million or $0.46 per diluted share in the second quarter of 2012. Manufacturing segment revenues for the third quarter of 2012 were $152 million, compared to $122 million in the third quarter of 2011, and $172 million in the second quarter of 2012. The increase from 2011 reflects higher railcar deliveries and including leased car sales and higher average selling prices as I mentioned before. In the third quarter of 2012, operating income for the manufacturing segment was $13.9 million or 9.1% of revenues, which was $7 million or 3.5 percentage points higher than the third quarter 2011 and $1.4 million lower or flattish percentage with second quarter of this year. The increase in operating income versus 2011 reflects the increase in deliveries, product mix, and some of better pricing in our certain car types delivered in the quarter. As Ed indicated our services segment was impacted by shift and work mix toward lower margin repair work. Revenues for the third quarter of 2012 were $8.1 million, compared to $7.9 million in the third quarter of 2011 and $9.4 million in the second quarter of 2012. However operating income for the services segment it was approximately $600,000 in the third quarter of 2012. This was $500,000 lower than the third quarter of 2011, and $100,000 lower than the second quarter of this year. Corporate costs for the third quarter of 2012 were $6.6 million, these costs were $400,000 higher than the third quarter of 2011 but flat with the second quarter of this year. The year-over-year increase reflect additional competition costs, consulting related expenses and cost related enhancing our production lines for the new product types that we mentioned earlier. The effective tax rate in third quarter of 2012 was 38.8% which reflects the full year tax rate of 39.2%. At September 30, 2012, we had 758 railcar assemblies with a net book value at $51 million versus 998 railcar assemblies with the net book value at $67 million as of June 30, 2012. Our financial position continues to be strong with no outstanding debt and total cash on hand at the end of September 2012 of $144 million. This is up $20 million from the end of June 2012, primarily due to reduction in inventory partially offset by increases in receivables and decreases in accounts payable. We have no plans to draw up on our revolving credit facility at this time. This ends our prepared comments. And we're now ready to address your questions.
Operator: (Operator Instructions) And our first question we'll go to Michael Gallo with C. L. King. Please go ahead.
Michael Gallo - C. L. King: C. L. King. Good morning.
Ed Whalen: Good morning, Mike.
Michael Gallo - C. L. King: Couple questions. How much of the backlog do you expect to this time will ship in Q4?
Ed Whalen: I am not sure that the question.
Michael Gallo - C. L. King: In terms of the number of units in backlog, I think you said, you expected the shipment to be lower in Q4. I was wondering how much of the backlog, do you think will ship this year as opposed to 2013?
Ed Whalen: Michael we don't give out that level details but as I said in the past our backlog will get delivered over the next couple quarters, end of the second quarter of next year.
Michael Gallo - C. L. King: Okay, great. Second question I have is just on some of the changes you've made in terms of being able to manufacture other car type. So I was wondering I mean other than intermodal what other car types this will enable you to manufacture and was just a bottleneck in terms of getting orders that you didn't have some of these changes in place, would you expect that with that those changes you will be in better to secure orders for other car types? Thanks.
Ed Whalen: What these investments have allowed also do, is to make a much wider variety of welled railcars than we've been able to do make in the past and it's allowed us to make more efficient, produce them more efficiently and make more rapid changeovers from one car type to the other. So we will now be able to make a wide variety of both welded and mechanically fast than non-coal cars.
Michael Gallo - C. L. King: Thanks very much.
Ed Whalen: You're welcome.
Operator: And we'll go to Peter Nesvold with Jefferies and Company. Please go ahead.
Elliot Waller - Jefferies and Company: Hi, good morning, congratulations on the good quarter actually Elliot Waller on for Peter. A couple of questions.
Ed Whalen: How are you today?
Elliot Waller - Jefferies: Fine, I'm well, surviving. One day closer to getting out of this mess in New York. If you could just talk to how do you plan to conserve cash should coal car and overall order demand continue to slow?
Ed Whalen: Certainly. In view of the somewhat weekend and uncertain outlook for 2013, we are redoubling our efforts at cost control and so we will be quite aggressively looking at G&A and corporate expenses as we go forward here for the remainder of this year in 2013.
Elliot Waller - Jefferies: Okay, that's as we expect a sequential improvement in the SG&A line on dollar basis going forward?
Joe McNeely: And Michael I'd probably add the quarter did include some consulting cost for projects that we got completed here in the third quarter along with the cost control efforts that Ed just talked about.
Elliot Waller - Jefferies: Okay, okay great and then just to clarify you had mentioned some improved ASPs, if you could just talk about what's driving that?
Joe McNeely: On the average selling prices there's a couple of pieces, there a part of it as I indicated or Ed indicated, its product it's a type of cars that are in there. And there is some modest price improvement as we deliver cars that were taken on order at the end of last year.
Elliot Waller - Jefferies: Okay, great. Finally, if you can just give us a sense of what the mix was on the orders of the quarter?
Ed Whalen: There have been orders since the end of the - since the end of the quarter but quarter rates are continuing to be modest.
Elliot Waller - Jefferies: I'm sorry in terms of the types of cars that you saw in for the quarter that was just reported?
Joe McNeely: We don't give out specifics on the type of cars ordered in a quarter other than these were not coal cars.
Elliot Waller - Jefferies: Okay, that's fair enough. Okay, very good, thank you.
Operator: We'll go to Eric Crawford with UBS. Please go ahead.
Eric Crawford - UBS: Hi, good morning.
Joe McNeely: Good morning, Eric.
Eric Crawford - UBS: Good morning, Eric. Couple of questions if I could get some more color on the lease fleet. How much revenue did the sale of 240 railcars generate?
Joe McNeely: We don't give a specifics on individual deal transactions, our standpoint it given these cars were delivered in the second quarter, but on lease and sold we treat them in account for them just like a sale of regular inventory.
Eric Crawford - UBS: Oh, that's fair. I had to try there. Were 225 unit -- railcars ordered in the quarter to external customers or were those to replenished the leased fleet.
Ed Whalen: Those were to external customers.
Eric Crawford - UBS: Okay, perfect. And if you could speak on the customers the conversations you're having with customers, have they generally been more receptive to rebuilds rather than new or for coal or have they -- what's the inquiry level like on some of the introductions of different railcar types that you're looking at.
Ted Baun: Yeah, hi Eric, this is Ted Baun. In general the customer inquiries are down. I think a lot of our customers are in, wait-and-see mode just like a lot of us are here. So there is still activity but it's depressed from where we would typically see it.
Eric Crawford - UBS: Thanks very much, guys.
Operator: We'll go on Matt Brooklier with Longbow Research. Please go ahead.
Matt Brooklier - Longbow Research: Hey, thanks good morning.
Joe McNeely: Good morning, Matt.
Ed Whalen: Good morning, Matt.
Matt Brooklier - Longbow Research: I'm just trying to think about the mix between new railcars and the rebuilds on a go forward basis and if we look in the quarter should we assume a similar rate of rebuilds going forward versus new railcar deliveries maybe you could just provide us a little bit of color on that.
Ed Whalen: Matt, we don't give out that level of detail, I think you have to look at the backlog and again as we've said before ther was 3300 rebuilds in total. We started delivering those - that and other cars will get delivered here over the next three quarters, through the second quarter of next year.
Matt Brooklier - Longbow Research: Okay. I'm sorry. How many rebuilds are currently in the backlog?
Joe McNeely: There were 3300 in total and we delivered 600 I think was the number this quarter,
Unidentified Company Representative: 620.
Joe McNeely: 620.
Ed Whalen: Okay. So I take 33 and 620 out of that should get to the correct number?
Ed Whalen: Correct.
Matt Brooklier - Longbow Research: Okay. All right. Thank you for the time.
Ed Whalen: Okay, thank you Matt.
Operator: (Operator instructions) and we go to Steve Barger with KeyBanc Capital Markets. Please go ahead.
Tejas Patel - Keybanc Capital Markets: Hey sorry about that. This is Tejas, actually filling in for Steve. How are you guys.
Ed Whalen: Good, how are you?
Tejas Patel - Keybanc Capital Markets: Not too bad.
Ed Whalen: Yeah, it seems like lot of the other analysts already got through some of the questions I had, but additional one I had that you haven't touched on yet where with regards to if you're seeing any pressure on component part pricing?
Ed Whalen: I think component part pricing is fairly stable right now and we're not seeing a large [effort] toward price increases.
Tejas Patel - Keybanc Capital Markets: Okay. And then just with regards to in the quarter the implied revenue per car was sequentially higher more in line with 1Q is that going to be sustainable going forward or is that because you did more new cars versus rebuilds.
Joe McNeely: Yeah, there is a lot of factors in that, again without giving - since we don't give out guidance as we said in the quarter there are some modest price improvement but there is also lot of product mix affecting those numbers.
Tejas Patel - Keybanc Capital Markets: Are you able to provide any color on that that product mix.
Joe McNeely: No more than we've already given.
Tejas Patel - Keybanc Capital Markets: Okay, thank you.
Ed Whalen: Thank you.
Operator: Now we'll go to Jon Evans with Edmunds White Partners. Please go ahead.
Jon Evans - Edmunds White Partners: You talked about that you're putting cost constraints in and et cetera, so SG&A was $8.2 million basically in the quarter. Can you give us any sense of I mean how much fluff is in there or how much you can take out from a cost standpoint or is this pretty bare bones.
Joe McNeely: Well, in terms of as I mentioned before and some of the drivers, there was probably about a $0.5 million cost in the quarter for projects that we initiated in the quarter and in terms of the ongoing cost management we'll do on that, we won't give out specific guidance on that.
Jon Evans - Edmunds White Partners: So I'm sorry you said how much was in additional cost that's one time?
Joe McNeely: On the consulting side it's about a half million of cost that ran through the quarter.
Jon Evans - Edmunds White Partners: Got it so basically you're saying that the run rate is about 7.7 and so if you think about 7.7 as being the run rate is there much cost to be taken out from there or not?
Joe McNeely: There is always room to [sweet talk], I think in the last quarter, even as we talked about cost management and I think so many had a similar question. There is always places to look at our cost structure in terms of getting our [T&E] looking at consulting cost and other ability to take some cost out but as we (inaudible) as a general rule I have spent some of these projects that happen in any one quarter we like the level of G&A we're at.
Jon Evans - Edmunds White Partners: Can I ask you one other question then. So in a cycle when you're going down what's the decrementals that you try to achieve. I'm not asking you for a guidance but there's got to be some range of decrementals when going down. Can you give us something like that?
Joe McNeely: In terms of what - in terms of revenue operating cost or?
Jon Evans - Edmunds White Partners: No, no your decremental margin. So you have an incremental margin, when you are on the mountain going up and when you are coming down you have a decremental margin. So what would you shoot for as your decremental margin range?
Ed Whalen: Jon I gets a lot of (Inaudible) should you go back and look through our filings and history and see where the margins have gone throughout the cycle up and down. They have ranged from very high in 2006 to very low in 2010.
Jon Evans - Edmunds White Partners: Right, but okay. So then the question I would ask you is this cycle not different than any other cycle, so you don't think it's going to be any different relative you think the decrementals or basically--
Ed Whalen: I guess the answer is we don't know yet because we aren't there, we're not sure exactly where the cycle is going from here. I would have to say primarily because of the nature of the economy in this recovery and we only have a 1% growth rate normally at this point in the cycle, we're growing much more rapidly and demand for cars is increasing. So this has not a typical cycle and so I'm afraid we don't have much visibility were we're going from here.
Jon Evans - Edmunds White Partners: Okay and then the last question I would ask is people seem to be excited about you getting into or diversifying your business away from railcars. Why do you think you'll be successful in that? Will you have to be, we only have to compete on price that looks like one of your competitors today cut their outlook for next year just for their cars that are going to be delivered so it sounds like the markets are shrinking. I'm just curious in a shrinking market how do you compete? Is there is some (Inaudible) thing you have on your new cars that makes me want to buy yours or they just were going to compete on price?
Ed Whalen: First of all, we've been in these markets before in our history and secondly, we believe that we have unique features on our cars that make our cars more desirable perhaps than others. And so we'll be competing of course on price and delivery, but we also believe we have designs that are of interest to our customers and we'll encourage them to be buying our products.
Jon Evans - Edmunds White Partners: Okay, hey thanks for your time. Have a nice day.
Ed Whalen: Thank you John.
Joe McNeely: Thank you.
Operator: We'll go to Mike Baudendistel from Stifel Nicolaus. Please go ahead.
Mike Baudendistel - Stifel Nicolaus: Yeah, hi. Thanks for taking my questions and congratulates on the quarter. Looking at orders for 3Q and I guess so far in the fourth quarter, I know you won't give specifics but have there been orders for the new intermodal car.
Ed Whalen: No, we have had no orders. We have the prototype car on service.
Mike Baudendistel - Stifel Nicolaus: Okay and then shifting gears away from the manufacturing side into the services business I understand you're seeing some lower margin work, are seeing a higher volume of that lower margin work? And is there anything more that you can be doing within the services segment to ramp that up as we go through the cycle?
Ed Whalen: Yeah, we have seen a slightly higher volume of work running through the shops. We have spent this year aggressively attacking the operation at the shops and cost of the shops and we have seen some of that benefit come through and we expect to see more benefit come through that going point forward, but unfortunately there's been a series of difficult situations, we've dealt with this year starting with the floods last year and now with the what is happened currently with the volume of cars moving that have had and also mix that have had a negative impact on the shop operation. We're happy with the operation of the shops and we're working very aggressively to turn that around.
Mike Baudendistel - Stifel Nicolaus: Okay, I think all my other questions have already been answered. Thank you.
Ed Whalen: Thank you.
Joe McNeely: Thank you, Mike.
Operator: We'll go to Sal Vitale from Sterne, Agee. Please go ahead. Mr. Vitale your line is open. And we got Peter Nesvold from Jefferies and Company. Please go ahead.
Elliot Waller - Jefferies and Company: Hi, thanks for the follow up again, it's Elliot Waller for Peter. Just a quick question, a crystal ball question here. I know you guys mentioned obviously there's a lot of uncertainty in both near term and longer term other companies have clearly mentioned that. And you know we have the election fiscal cliff tax issues that everyone's focused on for the next few months. Just wanted to get your thoughts, be either direction in terms of how you think overall deliveries will trend for next year for the industry? And then in terms of what's out there in front of us in terms of creating the -- uncertainty when you think that would start to dissipate and you get better clarity. Thanks.
Ed Whalen: I think the industry forecast are for deliveries in the upper 40,000 range for next year. And I guess that number is, there are several different forecasters, who are in that range and I guess for now, given the lack of visibility we have - we'll go with that.
Joe McNeely: Yeah, just to add. A good portion of those deliveries and which from the backlog side are ten cars.
Ed Whalen: That's true. With respect to when visibility is going to get better, that's pretty difficulty. I guess if you can tell me when the economy is going to start growing faster than 1% a year, I think we can give you a much better view of what's going to happen to the railcar supply industry in general. But it's really tough right now and I think you're seeing that in the comments made and on earnings calls throughout the manufacturing side, manufacturing world in the US today so.
Elliot Waller - Jefferies and Company: Absolutely, well thank you again.
Ed Whalen: Thank you.
Operator: (Operator Instructions) And we'll go to Sal Vitale from Sterne, Agee. Please go ahead.
Sal Vitale - Sterne, Agee: Good morning, thank you for taking my question.
Ed Whalen: Hey, Sal.
Sal Vitale - Sterne, Agee: Just a quick question, so given the low in orders I'm not sure if you - sorry I'm hopping on this call a little late so I'm not sure if you've mentioned what your orders would be for 4Q or into the New Year?
Ed Whalen: Well, as you know we don't give guidance so, and like - we can't make a projection there.
Sal Vitale - Sterne, Agee: Right. So given the low in orders, I mean is there any progress you think you can make on the cost side or reducing your SG&A, perhaps headcount reductions et cetera?
Ed Whalen: I think as we mentioned earlier we are aggressively looking at our costs across the board. Operating costs, SG&A and we're going to be - we've always been pretty aggressive at controlling those costs and we're turning up the burner around that activity right now.
Sal Vitale - Sterne, Agee: Okay, thank you. And then just a second follow-up question on that was the gross profit per car, I noticed last few quarters it's jumped around a bit, sequentially it's gone up pretty significantly in 3Q, is there anything that's affecting that perhaps the pace of deliveries of rebuild cars.
Ed Whalen: Primarily due to product mix.
Sal Vitale - Sterne, Agee: Okay, so should we expect that to continue to bounce around over the next few quarters or is there some—
Ed Whalen: You're going to see that because the product mix is changing all the time, our delivery mix is always changing.
Sal Vitale - Sterne, Agee: Okay. Thank you very much.
Ed Whalen: You're welcome.
Joe McNeely: Thanks, Sal.
Operator: And at this time there are no other questions in queue.
Joe McNeely: Okay. This concludes today's conference call. Thank you for joining. A replay of this call will be available streaming at 1:00 PM Eastern Time today at 1-800-475-6701, pass code 268906. Good day and thank you for listening. Thank you.
Operator: Thank you. Ladies and gentlemen that does conclude your conference for today. Thank you for your participation and for using AT&T executive teleconference. You may now disconnect.